Operator: Welcome to the Discover Financial Services’ First Quarter 2014 Earnings Call. My name is Ellen, and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Bill Franklin, Investor Relations. Mr. Franklin, you may begin.
Bill Franklin: Thank you, Ellen. Good afternoon, everyone. We appreciate all of you for joining us on this afternoon’s call. Let me start on Slide 2 of our earnings presentation, which is on our website and we will be referring to during the call. Our discussion today contains certain forward-looking statements about the company’s future financial performance and business prospects, which are subject to risks and uncertainties and speak only as of today. Factors that could cause actual results to differ materially from these forward-looking statements are set forth within today’s earnings press release, which was furnished to the SEC today in an 8-K report, and in our 10-K, which are on our website and on file with the SEC. In the first quarter 2014 earnings materials, which are posted on our website and have been furnished to the SEC, we have provided information that compares and reconciles the company’s non-GAAP financial measures with the GAAP financial information, and we explain why these presentations are useful to management and investors. We urge you to review that information in conjunction with today’s discussion. Our call this morning will include formal remarks from David Nelms, our Chairman and Chief Executive Officer; and Mark Graf, our Chief Financial Officer. After Mark completes his comments, there will be time for question-and-answer session. Now it’s my pleasure to turn the call over to David.
David Nelms: Thanks, Bill. Good afternoon everyone and thank you for joining us today. Since I recently presented Discover’s strategic priorities and key initiatives at our annual financial community meeting, I’ll keep my prepared remarks brief on today’s call. During the first quarter of this year, the actions and results that we drove help take us a step closer to achieving the priorities that I discussed at the event. Specifically, we grew card receivables by nearly 5% which is at the upper end of our targeted range. We achieved this level of growth through wallet share gains with existing customers, and the continued success of Discover it, where we drove a double-digit increase in new accounts. We’ve added innovative features like free FICO Scores on card member statements and continue to enhance our online application to drive new accounts. Card sales volumes growth in the quarter was 3%. It’s important to keep in mind that the majority of sales growth in the industry at the moment is coming from high spend transactors, while profitability in the industry for the most part is still driven by receivables, not sales. Our card business is focused on prime revolver sales and we’ve been taking share in this segment. Furthermore, we are not sacrificing quality to achieve growth as credit in our card business continues to remain exceptionally strong. Next, we continue to leverage our brand, our customer base and our risk management skills to profitably grow and expand our newer direct banking products. Private student loans excluding purchased loans grew by 26% during the quarter. And personal loans grew by 27%. In these businesses, we are not only driving solid growth, but we’re also achieving great returns on equity. In addition, we are piloting our student loan consolidation product which we expect to further rollout later this year, and we’re making good progress towards implementing the core banking system, which will better position us to more broadly launch our direct checking product later this year. In payments, we continue to increase global acceptance, enhance security and look for ways to partner to increase volume while navigating through some clear challenges in the segment. Despite these challenges in the payment segment, the first quarter overall was a great start to 2014. Our core lending business drove 6% receivables growth and 4% revenue growth. We generated $631 million in net income or $1.31 per diluted share with the return on equity of 23%. Now, I’ll turn the call over to Mark and he’ll walk through the detail of our first question results.
Mark Graf: Thank you, David, and good afternoon everyone. I’ll start by going through the revenue detail. It’s on Slide 5 of our earnings presentation. Net interest income increased $153 million or 11% over the prior year, due to continued loan growth and a higher net interest margin. Total non-interest income decreased $67 million to $515 million, primarily due to lower direct mortgage-related income, and an increase in our rewards expense. Our rewards rate for the quarter was 103 basis points. Of this total, roughly 7 basis points or approximately $18 million was related to updating our assumptions to reflect lower reward forfeitures going forward. Excluding this one-time adjustment, our rewards rate for the quarter would have been 96 basis points. The decrease in forfeitures is driven by good credit performance and our efforts to increase either redemption like we’ve done with Amazon to drive customer engagements. In terms of the more business as usual elements of the program, we modestly increased both the standard and promotional rewards over the prior quarter. Payment services revenue decreased 9% year-over-year, mainly due to lower transaction processing margins at PULSE, which will have somewhat easier comps next quarter as pricing changes were implemented during the first half of last year. Overall, we grew total company revenues by 4% in the quarter. Turning to Slide 6. Total loan yield of 11.44% was 22 basis points higher than the prior year, as interest yield for card, private student and personal loans all increased. The year-over-year increase in card yield reflects a higher portion of balances coming from revolving customers, as well as lower interest charge-offs. Higher total loan yield, combined with the lower funding costs, resulted in a 48 basis point increase in net interest margin over the prior year to 9.87%. Looking forward, we continue to expect net interest margin to remain elevated above our long-term target for sometime to come. Turning to Slide 7. Operating expenses were up $31 million or 4% over the prior year. The increase in employee compensation was primarily related to higher headcount to support growth and new product initiatives, as well as compliance with increased regulatory requirements. Information processing expenses were up $6 million or 8 %, largely due to a reclassification of expenses that were previously included in employee compensation and benefits in the second quarter of last year. Other expense was up $9 million or 10% due to the inclusion of a legal reserve release in the first quarter of last year. Payment services expense increased by $9 million or 23% due to ongoing Diners Club cost in Europe. For the quarter, our total company efficiency ratio was 37.7%, roughly in line with our long-term 38% target. Turning to provision for loan losses and credit on Slide 8. Provision for loan losses was higher by $113 million compared to the prior year, due to a smaller reserve release. Our $57 million reserve release for the quarter mainly reflects an improvement in both our contractual and bankruptcy loss assumptions for the card product. The credit environment for cards continues to remain extremely benign. Sequentially, the credit card net charge-off rate increased by 23 basis points to 2.32%. However it decreased by 4 basis points over the prior year. 30-plus day delinquency rate of 1.72% remained at the same level as the prior quarter. The private student loan net charge-off rate, excluding our purchased loans, increased 49 basis points from the prior year, due to a larger portion of the portfolio entering repayments. Student loan delinquencies, excluding acquired loans, increased 31 basis points to 1.79%. Overall, student loan portfolio continues to seize and generally in line with our expectations. Switching to personal loans, the net charge-off rate was up 7 basis points sequentially and the over 30-day delinquency rate was down 2 basis points to 68 basis points. The year-over-year decrease in the personal loan charge-off rate was primarily driven by loan growth. Next, I’ll touch on our capital position on Slide 9. Our Tier 1 common ratio increased sequentially by 60 basis points to 14.9%. This despite the flowing $400 million of capital through buybacks and dividends. As was previously announced on March 26, we received a non-objection from the Federal Reserve on our proposed capital action during the four quarters that will end of March 31 of next year. We were pleased with the outcomes in how we lined up versus other banks in terms of our capital ratios in the stress scenarios. Additionally, our board authorized a two-year $3.2 billion share repurchase program and last week increased our quarterly common stock dividend from $0.20 to $0.24 per share. Now that we’ve completed our inaugural CCAR stress test, we’re updating our Basel III Tier 1 common target to approximately 11%. Our prior Tier 1 common target was largely grounded in our economic capital framework. The new target is based on an analysis of our CCAR stress test result, which similar to other large banks has become our binding constraint. Just to remind you, this is largely an academic exercise at this point as we’re well above our revised target and the current CCAR framework Discover just payouts greater than 100% of earnings. In summary, this was a solid start to the year. We once again drove better than industry receivables growth. Net interest margin and credit remained strong. And we increased our planned capital deployment. That concludes our formal remarks. So now, I’ll turn the call back to our operator, Ellen, to open things up for Q&A.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) We ask that you please limit yourself to one initial and one follow-up question. The first question is from Ryan Nash with Goldman Sachs. Please go ahead.
Ryan Nash – Goldman Sachs: Hi Mark, good evening.
Mark Graf: Hi Ryan.
Ryan Nash – Goldman Sachs: So, just on the decision to change the Tier 1 common target to 11%. Can you just give us some context towards how you came up with the decision? This is obviously just your first year going through the CCAR, and I would have thought just given the experience that a lot of others have had that they taken a multiyear process before making a final decision in terms of the Tier 1 common target. So should we think about this as a potential to be a moving target over time, or you think this is something that will be more static and you’ll continue to run within the longer term?
Mark Graf: No, I think Ryan, it’s a great question. I think it’s definitely going to be a moving target over time, not something I would see as static. I think we had historically had prior guidance out there that was based on our economic capital framework that we withdrew after last year’s CCAR results when we saw how other card players had performed, and we just said it looks to us like maybe in the current environment, the number might be a little bit higher. And we need to wait and see, because the new binding constraint will be the stress test results themselves. And I think the 11% number we’re putting out to you today is really meant to be reflective of just that. The current environment and where things stand right now. I think it’s intended to be dynamic. It should be dynamic. It should be driven by the mix of business, the business climate, the environment, lots of different things. So I would not assume it’s a static 11%.
Ryan Nash – Goldman Sachs: Got it. And then given that you’re still sitting here with over roughly 400 basis points of excess capital, above and beyond that level, and given the fact that it appears that the payout ratio will be south of 100% this time, it looks like you’re going to probably continue to accrete capital from here. So just given that framework, is there any chatters overall across the industry potentially with the regulators about the ability to increase your capital of returns above 100%. And if so – if you were able to do so, what would be the method of preference would it be for incremental buyback or would you potentially think about something such as special dividend?
Mark Graf: I’ll refer to the regulars, the fed, in terms of what they’re thinking about in terms of the payout ratios over the long haul. I mean there is always speculation in industry from time to time. And I hear some of that on my peers. I am sure you’re hearing a lot of around the horn too, but I’ll defer to them over as to what their thought process is. I think the CCAR process itself is designed to be a horizontal review. And at such point in time as the regulator is being capital to be rebuild in the industry, it would be our clear hope that the process could change somewhat in that regard, but at this point in time, the rules that we understand them still are kind of what we’ve laid out there and that is that payout is greater than 100% are really discouraged in the current framework.
Ryan Nash – Goldman Sachs: And I might squeeze in one last one, just on the updated forfeiture costs. Is this something that we should think of as being one-time in nature, i.e. the 7 basis points is one-time. And how do we think about in the context of 1% targeted reward rate that you’ve talked about in the full year?
Mark Graf: Yes, great question. I would say the forfeiture rates re-impairment test or we cast that forfeiture assumption is a better way to describe it every six months, Ryan. And what we’ve seen is in particular some of the popularity, the Pay with Cashback Bonus at Amazon and a few other features like that have driven a much higher propensity to utilize the cash back rewards. So we’re not seeing as much forfeiture. In addition to that, the really high quality credit environment right now is meaning folks aren’t forfeiting their cash back balances due to delinquency. So when we looked at that, there was basically a catch-up adjustment we made to reflect those things. So I would say yes. I view them as one-time in nature. Now again six months out, we’ll look at them again but I don’t – a crystal ball doesn’t say some other giant adjustment six months from now as we sit here today. What I would say is that in terms of the 100% full year total rewards, Ryan, I would say yes, that still feels like about the right general ZIP code for where we’re standing, maybe two or three basis points above or below that number somewhere in that generally is good. It’s the way I think about the full year. So yes, I’ll stand behind that one.
Ryan Nash – Goldman Sachs: Thanks for taking my questions.
Mark Graf: You bet.
Operator: The next question is from Mark DeVries with Barclays. Please go ahead.
Mark DeVries – Barclays Capital: Yes, thanks. First question is just a follow-up on Ryan’s first question. Mark, is the – I believe it was the 9.5% economic capital you have. Is that still longer term where you would hope that the standard will converge on when instead sorts of get a little bit less conservative as far as what they want relative to what they’ve kind of the theoretical goal posts are?
Mark Graf: Yes, the 9.5% we withdrew about a year ago. And yes, that was based on the economic capital, that’s correct. I would say, look, based on an analysis of our economic capital position, it still strikes us that that would be reasonable place to operate the company over the long haul. I would say that process is obviously at this point in time, includes the federal reserve in the process. And they have a process that has imposed the binding constraint we have got today. And I want to be respectful of their role, the tough job they’ve got to play in rebuilding capital in the system post the crisis and everything else. So I think it’s a tough job and the horizontal review process is not easy for them. They’ve got to do it under Dodd-Frank. It’s not an option. So again our hope would be overtime as capitals rebuild, the process will liberalize a little bit. I think it’s here to stay, but we’re hopeful we’ll be able to liberalize. And that 9.5% economic capital numbers still doesn’t feel entire wrong to us.
Mark DeVries – Barclays Capital: Okay, that’s helpful. And then on a separate note, my sense was from the Investor Day that you’re still giving really good response to the offers you’re spending on the Discovery card. I think you also alluded to a benefit to the yield from some of the higher propensity to revolve. If you get a continued increase in that propensity to revolve along with strong response rates, could we see card loan growth in excess of the kind of 5% high end of your targeted range?
David Nelms: Well, as I mentioned Mark, we have achieved double-digit new account growth in the first quarter of this year compared to a year ago. So we’re continuing to see good responses. And I would say that the pickup that we saw in year-over-year growth from around 3% to between 4% and 5%, I think already reflects that success. And so we are very focused on trying to put in additional things that will help keep us near the high-end of that 2% to 5% range. And I am just really pleased that we achieved that high-end this quarter.
Mark DeVries – Barclays Capital: Okay, great. Thanks for your comments.
Operator: The next question is from Bill Carcache with Nomura. Please go ahead.
Bill Carcache – Nomura Securities: Thank you. Mark, I was hoping that you could talk about the dynamics that we’re currently seeing in consensus expectations which have your provision expense increasing 58% between 2013 and 2015, where your loan is only growing by 9% over that timeframe. Is it reasonable for growth in your provision line to outpace your loan growth by that much, particularly given that the reserve building that you’ve been doing has been growth-driven, and in this quarter you actually had another release? As we look ahead, how should we be thinking about the pace of reserve building in relation to your loan growth?
Mark Graf: Yes, I would say there is lot in that one Bill. I’ll try and hit it all. If I don’t, feel free to come back at me on some pieces if I miss it. I guess what I would say as with respect to how consensus were looking at, I’ll defer on that one because that’s obviously how you guys were looking at it. So you probably have a better sense on that one than I do. I guess what I would say is that the crystal ball right now gives us pretty good visibility into the 12-month forward loss emergence period. In that window, we do not see any type of deterioration in the consumer credit markets in which we play at this point in time. The environment continues to be very benign. We’d expect provisioning to be largely a function of growth going forward, to the extent that there is adds to the provisions, to the extent there is releases, we’d expect them to be from continued surprises to the good. This most recent quarter both our contractual and our bankruptcy loss assessments in our modeling improved. And I think that affected both, not only the number of accounts but also the average balances. So I mean it’s pretty broad-based improvement we saw across the board. So relative to the $1.6 billion in allowance or so that we’ve got on the books, a modest relief, a modest bill as I kind of view it as variability around a flat reserve more or less over the course of the last quarter or two, but I don’t see anything over the course of the next 12 months beyond growth in loans that would be a sizable driver of provision expense.
Bill Carcache – Nomura Securities: So to the extent that maybe you had a little bit lower recoveries that could be something that contributes to the provisioning maybe exceeding loan growth a bit, but by and large, provision growth should roughly be similar to loan growth. Is that reasonable to expect at least for the next year?
Mark Graf: Yes, I mean I think I got to be little careful with that one because obviously the provision growth can be driven by one, our model shell. And those models get updated every quarter. But I would say as a general process, I think the framework we’re thinking about and you’re expressing is not a bad one.
Bill Carcache – Nomura Securities: Okay, great. And then separately there is a follow-up. There has been some commentary during this quarter’s earnings calls suggesting that there are issuers out there who are willing to raise rewards to levels that are basically wiping out any interchange revenues that they generate. I wondered if you could comment on the extent to which you’re seeing any competitive pressure from these types of aggressive reward campaigns. And maybe more broadly, if you guys could talk about how sustainable these elevated rewards are that we’re seeing today across the industry, particularly some of the relatively high cash back rewards offers that are out there?
David Nelms: Well, I think that there is – we’ve seen over many years where letters with come in with high rewards and then we’ll pair them back. So I don’t know that that’s very different. And I think you kind of see people coming and rotate in and out. So I don’t – I wouldn’t characterize now it’s having an unusual number of people coming in with our rewards costs. I think some people are getting more aggressing and some people are backing off because they are running the numbers from last year’s programs. I think if you look at what we’re doing apart from the sort of one-time adjustment, we still were just under 100 basis points. We’ve been around a 100 points for a while. That was sufficient to drive industry leading growth. In receivables and growth in revenue, actually an expansion in net interest margin. So we are very focused on growing total profitability and profitable loans, not just short-term drilling rewards expenses out.
Bill Carcache – Nomura Securities: It’s very helpful. And if I may just a last one very quickly. What kind of ROE does your 11% common equity Tier 1 target represent? And then that’s it. Thank you.
Mark Graf: Yes, I’d say we haven’t specifically translated that one publicly before, but certainly well north of that 15% number that is sort of our threshold level we put out there on our guidance previously.
Bill Carcache – Nomura Securities: Thanks.
Mark Graf: Yes.
Operator: The next question is from David Ho with Deutsche Bank. Please go ahead.
David Ho – Deutsche Bank: Good evening guys.
David Nelms: Hi David.
David Ho – Deutsche Bank: I was looking at your expenses, it seem pretty clean this quarter outside some seasonal prime marketing and maybe a little bit of Diners cost. If I annualize that run rate, I would still get maybe three-ones. If I had a little bit of marketing, still relatively large delta versus your $3.3 billion, end of your target. I know you’re building in some compliance regulatory costs and maybe some technology investments. How much are those in the run rate and then kind of what’s the timing on that throughout the course of the year?
Mark Graf: Yes, I would say it’s going to ebb and flow David a little bit quarter-over-quarter. I think I’d probably point you back to the Investor Day commentary where I kind of said $3.3 million sort of felt like the right number for full year expenses. I would say – and based on everything I know right now, I wouldn’t revise that guidance. If you were in Investor Day today, I’ve still pretty much think that’s held pretty good. I think we feel pretty strongly that the last two quarters we’ve slipped to flat to positive operating leverage with revenue growth in line with or exceeding our expense growth, which feels very good to us. We’ve remained committed to consistently delivering positive operating leverage and that’s the direction we’re headed.
David Ho – Deutsche Bank: Okay. So another one on loan growth. It seems like some competitors are increasing credit lines or adjusting those for some of their customers. Is that something you guys have relatively been stable in your credit line you would have increases but that’s something that you get use as a lever for loan growth going forward?
David Nelms: I think we’ve been pretty consistent on that. Right after the crisis, we curtailed a lot of line increases, but at this point we restore things and we’re a couple of years into a fairly stable situation of raising lines when appropriate.
David Ho – Deutsche Bank: Okay, that’s helpful. And one more on the CCAR results for the loss rates. It seems like 15%, obviously the high end of the industry but versus your internal projections, was there a large delta there, and can you comment on the different [ph].
David Nelms: So I think David you can see our – we published our forecast for the losses and the supervisory stress scenario on I think it was March 26. So you can see the differences there. We can’t explain the differences between the two, because there is not really that much insight that’s given to how the fed comes up with their loss estimates.
David Ho – Deutsche Bank: Okay, thanks for taking the questions.
David Nelms: Thank you.
Operator: The next question is from Sanjay Sakhrani with KBW. Please go ahead.
Sanjay Sakhrani – Keefe, Bruyette & Woods: Thank you. I guess I got one on capital and one on the network business. Just assuming the bulk of the excess capital is trapped, how aggressively are you looking for alternative uses? And I guess secondly on the network business, I guess intra-quarter we found out who the third-party issuing client was that left. Could you just talk about the prospects for that third-party business and broadly the – I am sorry the third-party issuing business and maybe the third-party segment broadly as well? Thank you.
Mark Graf: Yes, I’ll tackle how aggressively part and then I’ll pass it to David to talk about the network piece. I would say Sanjay, we are always actively looking for ways for capital to work to the benefit of our shareholders. So you should I think see if we assume we are always scanning a horizon for ways to do just that. I think organically we’re already outgrowing our key competitors out there in all of our core product lines and it feels like we’re doing very good job of that. I’d say when it comes to the inorganic opportunities in that front too, we’re also always very actively scanning and looking for the right opportunities, balancing that against wanting to make sure that the capital doesn’t burn a hole on our pocket so to speak. And I think the phrase I’ve used before is if a deal doesn’t make sense, we won’t try to make it to make sense. And I think there is things shown around on the streets from time to time, but there is disconnect between value in buyers mind from sellers minds. And I am not going to do something that doesn’t make sense for my shareholders just to do it. So but rest assured, we clearly understand, we have more capital sitting around than our shareholders would like us to. We remain committed to our prioritization which would be organic redeployment, returning it and inorganic redeployment in that order. And we are going to stay diligently focused on that.
David Nelms: And Sanjay, obviously they want to bring that – represented the lion’s shares and network partners volume of profits, but was an immaterial benefit before our currently paid EPS overall. But frankly, we had to look at the renewal and the renewal structure simply didn’t meet our profit hurdles. So it would have gone from positive to a negative. And so that obviously didn’t make sense for our shareholders. If you look at where we’ve been focused in the last couple of years, it’s actually been not on deals like that but on non-traditional deals. So I point you to the various network-to-network deals. The various deals like the Ariba, PayPal and others with some other emerging partners, and as well as continuing the focus on debit where we’ve got a strong market position in terms of market share. And so we’re pretty pleased with the deals there, but it takes a while for volumes to profits of new deals to take the place. That’s something that’s much more maturity of going to going away later this year.
Sanjay Sakhrani – Keefe, Bruyette & Woods: And one follow-up if I may to Mark’s comments. Just in terms of places where you’re looking at where the prices might not make sense. I mean could you just talk about what those areas are? That would be helpful. Thank you.
Mark Graf: Sure. I guess, Sanjay, the way I think about it as you were talking the balance sheet business, you’re looking at assets that are consumer-oriented assets in nature, assets that are actuarially I would say for lack of a better term underwritten and managed as opposed to big lumpy exposures. So I wouldn’t expect to see us run out and start doing C&I lending or commercial real estate lending next quarter. I think I would stick to more granular consumer or consumer-like type portfolios would be the way I think about that. And obviously I think my earlier comment, I think our crystal ball shows an ability for us to keep driving great ROEs right now as we look forward. And rushing out and trying to make one of those work, when it’s not the right strategic fit and/or the pricing isn’t right in this environment. I think we want to be responsible stewards of our shareholders capital, and we’re going to do the right things.
Sanjay Sakhrani – Keefe, Bruyette & Woods: Great. Thank you.
Mark Graf: You bet.
Operator: The next question is from Don Fandetti with Citigroup. Please go ahead.
Don Fandetti – Citigroup: Yes, David. I was wondering if you could talk a little bit about spend during the quarter and into April, and then also briefly on the CFPB if there is anything going on there, or is it fairly stable?
David Nelms: Well, on spend volume, we have seen some pick up in the last several weeks. And I think we’re going to have to see some more data points to see if that’s sustained or not, but at least maybe as the weather finally gets a little bit better, that is potentially helping. In terms of CFPB, there is really nothing new. I mean there is always reviews, there is the one – we’ve continued to maintain a good working relationship. The one matter that we disclosed that we’re still working already through. We don’t really know exactly where that will come out, but we look forward to resolving that as soon as we can. We’ll let you know as soon as there is more that we can say.
Don Fandetti – Citigroup: Thanks.
Operator: The next question is from Brad Ball with EverCore. Please go ahead.
Brad Ball – EverCore Partners: Hi, yes, Mark, really two questions on the margin. One, sort of over the nearer term. Is there room for further funding cost benefits as you continue to drive more direct consumer in affinity deposits. And drives the margin even higher. And then secondly longer term, what is it that keeps you locked on your long-term margin guidance which I think is 8.5% to 9%. What gets us back down to that level? Is it higher funding costs, or is it competition, depleting asset yields. How do you foresee? I know you can’t really give us timing, but how do you foresee getting to that lower level?
Mark Graf: I appreciate your addition of the timing point there. I appreciate that, very nice, but I am happy to tackle it. I guess I would say in the near-term, Brad, what we’re doing is two different things. We’re capturing and taking advantage of refinancing, albeit lesser volumes, but still not immaterial volumes of fundings. They were put on place several years back. Refinancing those at current lower rate in today’s environment. What we’re also doing now is we’ve begun to really extend out the duration and the maturities of that funding. So for example, we did about $400 million with a 12-year bank notes in March at a very attractive fixed coupon. So some of what we’re doing will actually benefit margins. So what we’re doing will actually modestly take away from that benefit to margin. On balance in the near-term, is there is some potential modest upside in the margin? Yes, there is some potential modest upside in the margin, yes, in the near-term I would say. But we’re not letting – it would be greater for a lack of a better way of saying and if we weren’t positioning ourselves what to perform well in all environments. So from an asset liability perspective, we’re making sure that we’re not being pigs at the trough and just taking advantage of it all today, but there is opportunities with some more expansion there. In terms of longer term guidance, I think there is any number of things, credit normalization, increased interest rates. At some point in time even if we’re extending out the duration of maturities of the funding, if and when that matures in a higher rate environment. I would say the biggest reason though is if I’ve kept that guidance and we’ve not been comfortable moving of it is – David has been pretty clear about our goals to become the leading direct consumer bank in the country. And I think part of what comes with that is diversification. And the other consumer asset classes we’re not playing in today have lower yields than several of the ones we are playing in today. The good news is they also have lower loss rates. So on a risk-adjusted basis the returns they drive are very, very similar but they would – that further expansion would be diluted to margins. So that’s the biggest reason we’ve kept it in tact.
Brad Ball – EverCore Partners: Okay, that’s great. And then my one quick follow-up is on the Diners expense this quarter. Are we getting to the tail-end of that incremental Diners cost in Europe, or are we looking at that likely to continue over the next few quarters?
Mark Graf: I would say you should expect it will continue over the next couple of quarters. It’s really being driven by the business we acquired in Europe, the Italian Diners franchisee and the processor related there too. I am not so sure I would take that number and make that number a run rate. I’d give you that guidance, but I would also expect there will be some drive that comes with that business for the foreseeable future.
Brad Ball – EverCore Partners: Okay, thank you.
Operator: The next question is from Craig Maurer with CLSA. Please go ahead.
Craig Maurer – CLSA: Yes, hi. Would it be correct to assume that if you’re seeing increased spend volume over the last few weeks as the weather improved that’s coming with increased demand for lending or accelerating of loan growth? And secondly, with respect to PayPal, and assuming that they are yet to show any understanding of what a value proposition would need to be at a physical point of sale, would it be fair to characterize that your belief in their growth is now switched to a hope for growth?
David Nelms: Well, I think on the second one you need to talk to PayPal. I wouldn’t comment. We value PayPal as a partner. We still are very optimistic in the long-term, but what I would say is that, they are going to continue to test and learn and develop and where we exactly start and where we exactly end. As you would expect its marks [ph] will change. And you are seeing that with all the other players in the space as well whether it’s Amazon or Google or Apple or they’re all changing as time goes past. In terms of the first question…
Mark Graf: Sales outlook [ph].
David Nelms: I would say we already feel really good about our loan growth accelerating to nearly 5% this quarter. If I can keep it at that level, I’d be thrilled. I would not get ahead of myself and say, it’s going to necessarily accelerate from here. I’d love to see a little more acceleration in our sales growth. And while I feel really good about it if we continue to see a little pick up in retail sales more broadly in the economy. And maybe that our sales and our balance growth move closer to being in line versus sales be in a little bit [indiscernible].
Craig Maurer – CLSA: Okay. Thank you.
Operator: The next question comes from Betsy Graseck with Morgan Stanley. Please go ahead.
Betsy Graseck – Morgan Stanley: Hi. Couple of questions. One was follow-up to the NIM discussion. I know you’ve had high APR balances and have been trading down but very, very slowly. So I was just wondering, A, what’s driving. Why did this slow and then B, are you assuming your normalized NIM outlook that – or your long-term NIM outlook, I should say that those high ARP balances have already traded?
Mark Graf: Yes, so Betsy, if you look at the higher rates buckets, it’s down to somewhere on the nature, I may have it little wrong but I am really close. I think about 16% of the total above give or take, somewhere in that and I think it’s maybe 15%. A big chunk of that is cash advance balances, the rate on which is not covered or regulated on the CARD Act. So the amount of high rate balances left to a trade is relatively modest, and I’d be honest in telling you that the bucket is getting replenished somewhere near about as fast as to trading. So it seems to be approaching a point of stability. It will decline from here a little bit more, but relative stability in that regard. So I think the high rate balances that are trading are not having the same including the factors that we were fighting here a year or two ago.
Betsy Graseck – Morgan Stanley: Because it’s [indiscernible].
Mark Graf: Yes, exactly right. So it feels like we’re approaching a point of state to spare at least for now. I wouldn’t say we’re all the way there yet necessarily, but it feels like we’re getting somewhere close to that. And I apologize, I’ve forgotten second part of the question.
David Nelms: Our long-term loans targets, do we assume more run-off?
Mark Graf: The long-term target, do we assume more run-off. Now the same thing. It’s basically just assumes we’re reaching a point of spaces there more or less, but it projects that there will be some continued run-off from here. Yes, I mean it’s again that longer term NIM target is really driven by the mix shift that we anticipate seeing overtime as we broaden the base of assets.
Betsy Graseck – Morgan Stanley: Okay. And so consumers already shouldn’t have product and grows as they seek that type of financing and it can go up as well. So that’s not on your base case.
Mark Graf: Correct.
Betsy Graseck – Morgan Stanley: Okay. Then second question just on the other income line. Could you help us understand how is that mortgage-related revenues and could you speak to the thought process around portfolio-ing mortgages and is there an acceleration time?
Mark Graf: Sure. I would say with respect to the portfolio-ing of mortgages, I would say I don’t see that any time in the near-term in our current business plans. I think our cost of capital is in the particularly efficient place to hold a market price asset shall we say of that within a spread. So we probably aren’t the most efficient holder for portfolio mortgages. We do from time to time contemplate with every service RM [ph] product. They’ll read that as me telegraphing or going into servicing next week by any stretch of the imagination. It’s just something we do consider to control the customer experience. I think we’re very proud of the customer service we provide. And our ability to keep driving that forward is something that’s very important to us. With respect to the decrease in other income and how much of it is related to the mortgage business. I was in the mortgage business is the biggest single component of that decrease in other income.
David Nelms: Year-over-year.
Mark Graf: Yes, year-over-year. And it’s about probably plus or minus, let’s call it between $30 million and $40 million year-over-year decline in that line item that’s driven by the mortgage business. So as I’ve kind of guided and as David guided you all to historically I would say, we bought the business because we wanted to be in the asset class. We purposely got it small. So in the good days maybe we were creating a penny or so a share to income overtime on a quarterly basis. And maybe today, we’re taking away penny a quarter per share give or take something like that. So it’s not really a material driver of the earnings stream today and feels like a place we want to be playing some type of a role as part of our goal to become that leading direct consumer bank, but growing it before we figured out the right formula for it doesn’t make sense.
Betsy Graseck – Morgan Stanley: Okay. So that too is kind of steady state in terms of seeing adjustment that you want to make there?
Mark Graf: Yes, I think if we saw the right opportunity to penetrate more deeply to purchase mortgage market I think as team, we’d be prepared to make the investments for the right opportunities. But I think again in this environment, we need to see the clear path of doing that. We’re not going to just throw money at it to see if it works. We have to see a clear path of that being a good investment decision.
Betsy Graseck – Morgan Stanley: Okay. Thank you.
Operator: The next question is from Chris Donat with Sandler O’Neill. Please go ahead.
Chris Donat – Sandler O’Neill: Hi good afternoon, and thanks for taking my questions. I wanted to ask on the marketing side. As I look at the last three quarters, you’re basically flat year-on-year with marketing expense, and this is at the same time if you’re launching some new products. So I am wondering, has there been some shift in your marketing spend either call it class marketing versus branding or maybe some shift in the channels where you’re advertising that you’re finding more efficient place to do your marketing like internet versus direct mail? Just curious on how you’re keeping your marketing so steady year-on-year?
David Nelms: Well, we’re certainly trying to be efficient with our marketing. And in terms of the first part of your question, I mean we’ve kind of had a series of new products. I mean we launched, Discover it, last year. We recently added free FICO Scores on statements. We’re continuing to have maybe you wouldn’t call them total new product launches, but significant product development and that are newsworthy, and frankly that’s one of the reasons that our ad dollars and our marketing dollars go further because we have real news to tell consumers subscribe their name. And we’re going to continue to do that. At the same time we are getting better and better at internet and a direct digital marketing. And you’re seeing us do more and more in that space a very high percentage around new applications are coming there. And we’re continuing to fine tune I mentioned the new application that is having a better click-through and completion rates. So we continue to try to take steps to make our marketing dollars go further.
Chris Donat – Sandler O’Neill: Okay. And then…
Mark Graf: One thing I would like to add just to make sure we’re all levels, that is, if we saw the right opportunities that we’re going to drive the right kind of returns, this is a team that will invest if we had the right opportunities, right. And I think certain of our competitors have basically pulled way back on marketing spend and that’s probably – unless we saw diminishing returns from it, not somewhere we’d be right now.
Chris Donat – Sandler O’Neill: Okay. And then just shifting gears. So something else that had been disclosed in your 10-K about the FDIC notification about potential program efficiencies on AML, BSL, if there is just any updates there or anything to say?
David Nelms: No, there is not an update. We’re continuing much as I mentioned with the CFPB. They have a very collaborative working relationship and we’ll let you know more if and when we get to the point where we can reach closure and let you know how things turn out.
Chris Donat – Sandler O’Neill: Got it. Thanks.
Operator: The next question is from Brian Foran with Autonomous Research. Please go ahead.
Brian Foran – Autonomous Research: Hi good evening guys.
David Nelms: Hi Brian.
Brian Foran – Autonomous Research: I guess just on – most of my questions have been asked, but maybe on deposits. Can you remind us kind of as we been flat for a while, how much of that is just using to legacy higher rates stuff go versus how much of that is increased competition in the marketplace?
David Nelms: I’d say it’s all the former from our perspective. Well we have been reasonable stable after a period of very rapid growth, within that when we talked about some in Investor Day, we’ve significantly remixed and have carefully gone through the portfolio and have been maybe less aggressive on pricing and more aggressive on the most profitable parts of that to position ourselves for rising rate environment to make sure we’re with core customers. But one of the most important factors is that its heavily cross-sell. And I think last year, about 50% of that total book has actually came from cross-sell as opposed to new customers to the franchise. Last year was about 70% cross-sell. And so we think that turning this into really all core deposits is very important. I think going forward, the big thing is checking account. That’s not going to change the mix dramatically or add to balances dramatically in the near-term, but in the long-term that is very strategic for us because that is fairly relationship driven, and we think we have a very differentiated product with no fees, rewards and mobile capabilities that are unmatched. But if these are sticky, it will take time but that in the long-term is where we’d love to see some growth.
Brian Foran – Autonomous Research: And just maybe one follow-up. There is a separate question. I feel like I’m asking something that’s already been asked, but just as I look through these loan yields, I keep waiting for the mix shift in competition to bring them down, and it’s the only thing that keep going up. So you kind of touched on how couple of different things happening in different corners [ph] but were you surprised by how well the loan yields evolved, how to adopt this cycle and is there anything identifiable in the near-term that would change that?
David Nelms: Well, remember there is an interaction with loan losses. And so loan credit losses means we were charged-off interest. And so to some degree a new normal in credit will be a new normal resulting some new normal in NIM. The second thing I would point out is that things are a bit different from card – as a result of CARD Act. And as you know, one of the key attributes of CARD Act is you really can’t change, and I think change rates down the road. And so I think people maybe are a little more careful about going in with too low of a rate upfront. And so it’s keeping their competition much more disciplined. And maybe in past cycles there might have been rate decreases now, but once you decrease you can never go back up. And so I think that is keeping a certain amount of discipline in the marketplace. And I think that would be here to stay.
Brian Foran – Autonomous Research: Thank you. I appreciate it.
Operator: The next question is from Bob Napoli with William Blair. Please go ahead.
Bob Napoli – William Blair: Thank you, good afternoon. I just want to clarify, I think you said that the new accounts in credit cards were up 10% year-over-year. Is that right?
Mark Graf: I said double-digits.
Bob Napoli – William Blair: Double-digit…
Mark Graf: I didn’t say the exact percentage.
Bob Napoli – William Blair: Okay. And then maybe what drove when you had flat marketing as was earlier pointed out, what drove the double-digit? And is the Discover it at all changing the demographics of the customer base. So what’s driving that growth? Is it continuing? Is it sustainable, and is that product changing the demographics of Discover customers somewhat?
David Nelms: Well, I would point back to my earlier comments about getting incremental improvements in our marketing effectiveness in the digital space as well as the introduction of the free FICO Scores, which is resonating well, as well as our great service. And I think we’re doing a better and better job with getting the word out that we have a fantastic service. I think that we’re seeing on balance a slightly younger attraction. And I think that would be consistent with being digital kind of focus. And frankly people that are a bit younger probably have greater appeal to the free FICO Scores because they may still be building their – their credit scores aren’t as locked in after decades of behaviors. And that we’re pleased with making our money go a bit further.
Bob Napoli – William Blair: And then on your redemption rate, I guess are taking the charge this quarter. I think the American Express has given out numbers. They are probably in the mid 90s on the redemption rate. What is the redemption rate for Discover? Is it similar to American Express? Is it much lower?
Mark Graf: We’re looking at each other across the table right now. I’m not sure we probably disclose that one. What I would say is our goal would be to make sure our customers have the opportunity to avail themselves that Cashback Bonus to the greatest extent possible. I mean we are – we take actions on a regular basis like that they would Cashback Bonus at Amazon and other features to try and make that redemption very easy for the customer. We found it’s driven dramatically increased engagement on the part of our customers. If you look at the receivables growth we’ve had vis-à-vis our competitors, A, it’s pretty significant and I think there is a reason they are choosing to build those receivables with us. And I would say if you looked at the components of that 5% receivables growth, when you look at the first quarter, basically all that growth was standard merchandize sales, all right. I mean there was not a significant amount of VT [ph] in the component. There was not a significant amount of promotional merchant component. It’s basically standard merchandize. We’re getting to see old-fashioned way and that’s the best most profitable time. So it feels really good.
David Nelms: It is in that general ZIP codes. And it’s been hard for quite sometime and that’s partly how we designed it. It’s cash. It’s not points. We tried to have – make it – as a competitive advantage make it easier to redeem. We tried to have minimal brokerage. What we see as the payback is not in the brokerage but in increased usage. And so it’s a high percentage.
Bob Napoli – William Blair: And then on the last question – last question if I could sneak in on the leading direct consumer bank focus. Is there a – to accelerate the view, I mean you’re trading at 11x earnings. It’s been a great stock and earnings have gone up. And I’m sure investors aren’t complaining about the stock, but mid-regional banks are putting it 15x earnings. And you’re really in a sweet spot of banking, I mean people are closing branches, not opening branches and you have a good brand and position. Is there a way to accelerate that view, I mean to grow the checking, the deposit? Is there some M&A that possibly would bid with your franchise that maybe accelerate the checking account, the growth of checking accounts or other products for Discover?
David Nelms: Well, I think checking in particular, I am not sure who one would acquire because I think we’re with the leading edge there. Arguably I think there are some that have done a good job, USAA is one I would point to, because they’re with a more focused customer base, but they’ve done a great job on service and actually getting people to use out as their checking – having the primary checking account. But there is – I think generally we would consider other ways to accelerate our growth, but there is not a lot of direct players out there in any of our asset classes that one would think about being able to acquire. I mean student loans can certainly fit that criteria a few years ago and you saw us take action. So we have done things to accelerate were appropriate, and we always looked, but we would have to make sure it was something that did the strategy. Most of what would be out there would be branch banks which isn’t as you said direct banking.
Bob Napoli – William Blair: Thank you very much.
David Nelms: Thanks.
Operator: The next question is from Sameer Gokhale with Janney Capital. Please go ahead.
Sameer Gokhale – Janney Capital: Hi guys. Thanks for taking my questions. Just to start off, I am trying to just go back to your commentary, Mark, about the loss reserves and where they should be expected to trend and then also the provisions. And I am trying to just frame this in my mind, get to help you better quantify the thinking around provisioning would be related to growth, but if I look at your – I go back of Q1 of 2012, I annualize your charge-off, say in the credit card business and then I subtract from that what you had in reserves associated with the card portfolio and divide that by the average loan balance in that portfolio. There is a gap of about – it comes out to me, the math looks that we were 100 basis points and I call that cushion if you will for lack of a better word. And then if you look at the same calculation of Q1 of 2013, that was about 60, 62 basis points. And then in the most recent quarter about 32 basis points. So am I correct in just running that calculation thinking that, okay, if were to use the term cushion for lack of a better word, the cushion is thinner now clearly as you’ve gone down reserves and that’s why you’re going to be having more provision related to growth as opposed to having any additional opportunities to release reserves? Is that the right way of thinking about it?
Mark Graf: No. I wouldn’t think about in terms of that cushion – in terms of that thought process. I mean we don’t – GAAP doesn’t allow you to keep cushion per se. GAAP basically requires you to be pretty darn transparent about where you think losses are actually trending. And I can promise you there are regulators from multiple different regulatory bodies and external auditor who crawls all over those loss reserve models on a regular basis. So I wouldn’t think about it in terms of there being some cushion put in there. I think, Sameer, in terms of where that trending goes from here, I would say loan growth is going to cause – you mean the components of it, what I can’t do is tell you every quarter exactly how they are going to swing. But the components that we process do have to have a positive provisioning would be at least in the near-term those that are related to loan growth, growth in the balance sheet, growth in assets, because we don’t see any significant turn in the overall environment for credit any time soon, okay. Another factor that would cause positive provisioning would be the student loan business, right. Our organic student loan business only 36% of that at this point of time is in repayment. So as that portfolio continues to seize in, that one will be driving modest additions. I think the flat score of the student loans was $9 million with loan loss reserve addition, if you will in the total calculation something like that. So those would be the two big factors that would cause positive provisioning. On the flip side of the equation, what in a stable credit environment or a nearly stable credit environment would cause you to have releases, I would say it would be for both bankruptcy and contractual accounts. What’s our experience and hence our revised forecast based on that experience is for both, the average balances that will be impacted as well as the number of accounts that will be impacted. So if you have a situation where you see average balances are going down and you have a situation where you see the number of accounts being impacted are going down, that obviously helps. So that would be the component parts and pieces of the puzzle. Last couple of quarters, we saw slight increase in some of those numbers. This quarter we saw a decrease. Hope that’s helpful.
Sameer Gokhale – Janney Capital: That’s helpful. I was looking only at your card business and I was just moving into baseline assumption that you have about 12 months of reserves of charge-offs in your reserves, and then looking at your run rate of charge-offs, I was trying to extrapolate from that, but you’re color is very helpful. The other question is on a different note, your personal loan product, I mean clearly you’ve had a lot of growth there. You’ve been very successful. Now the other day in one of the newspapers, there was some discussion about a company called Lending Club, which seems to target prime customers specifically for purposes of refinancing on the higher cost credit card debt and other types of debt. I was curious, it doesn’t look like you’ve felt – I mean clearly, I mean portfolio is probably lot smaller than the card portfolio, but it seems like you’re generating pretty healthy growth rates there, but do you come across this company? Do you – is it a different demographic from what you usually target, because it seems like the demographic was pretty similar. So I was just trying to reconcile your fast growth rates with the fact that there seem to be other competitors coming in specifically targeting that customer base?
David Nelms: Well, from what I can tell, I would say the P2P companies are probably the leading competitors to what we’re doing. And so we certainly are taking notice. From what I can tell, some of them tend to be a little broader in their credits than we are. We are quite focused on prime, and as opposed to sort of full spectrum on lending, but nonetheless I think some of them were doing some interesting things. And one of the things that we have done historically has been by invitation-only kind of marketing, and we are testing into this year at least considering the applications of people that are coming to us through the internet site from broad markets and may benefit from debt consolidation product. And that may bring us a little bit closer to some of the things that – space that they’re in.
Sameer Gokhale – Janney Capital: Okay, great. That’s helpful, David. And just one quick one, I’ll sneak it in there just to make sure, I mean it doesn’t sound to me like you’re opposed to buying portfolios of private student loans, clearly Sallie Mae bank will be a stand-alone entity that said they want to sell roughly about half of their production would be $2 billion in loans. Is that something you’d be interested in, or should we assume that for now unless you’re got a really compelling price, you’re just going to focus some more on the organic growth?
David Nelms: I mean I think if it was the portfolio – if the portfolio was available, we would simply run the numbers and decide if it was a good thing for shareholders and whether hurdles or not. I am not familiar with what Sallie may or may not do. I suspect that you’re talking more about what they’ll securitize versus keeping the balance sheet, which is probably something little different than buying whole loans but.
Sameer Gokhale – Janney Capital: I think these are probably the whole loan sales. They originated about $4 billion a year and they plan to sell $2 billion to one of their other entities that’s being spun out, but presumably they could also offer these out to the open market for other bidders to bid for these loans. So I was just curious if you’d be interested in that or even philosophically as you pointed out, you just want to focus on your organic business. It sounds like if the price is right, you might probably be interested?
David Nelms: Yes. Well, I would say the primary focus across all of our businesses is organic growth, and we’re really pleased that we’re achieving good organic growth. We would be open to things that fit the strategy and could accelerate that growth, but Sallie hasn’t called me yet, so I couldn’t comment on that specifically.
Sameer Gokhale – Janney Capital: All right. Okay, great. Thank you.
Operator: The next question is from with Rick Shane with JPMorgan. Please go ahead.
Rick Shane – JPMorgan: Hi guys. Thanks for taking my questions. If we look at sort of the backdrop on what’s happened in mortgage, I think it’s fair to say that – you called a tailwind in the beginning if you didn’t probably necessarily drove profit building a little bit quicker. You called it headwind over the last couple of quarters and I think the expectation is once you turn profitable in that business, it would have been steadily profitable. Two questions here. One is, you talked about the revenues, can you talk about the expense controls that you’ve seen associated with mortgages you’ve seen a slowdown. And following that, do you believe at current run rates, which I think are probably a realistic expectation going forward that that business can at least be modestly profitable?
David Nelms: Well, I would say that you characterized it right. Things did better than expected in this way and a little worse than expected recently. I read somewhere that we’re in a 17-year low on mortgage originations in total. And I am not sure I agree with your characterization is that business is steady, because it by nature tends to be cyclical. And I think we’re in a particularly unusual tough cycle right at the moment. I think that the direct part of that business has tended to be more refinance focused. So it tends to be even more cyclical. And so I think in our long-term view, what we want to do is generate more first mortgage production which will be more stable. During the quarter, you saw us make at least one announcement on relationships with realtors and search properties that would help actually generate direct first mortgage origination. And I think that’s indicative of some of what we want to do over the long-term is move to that more stable production model. We have also taken steps as everyone else has done to rationalize the excess capacity. In the industry, you have out to take expenses out. In the near-term, our objective is probably simply just to get back to breakeven. It’s not costing us huge money right now but we do see a path to get to breakeven fairly quickly. And then after that the question is can we move it up to a long-term contributor. And then eventually to grow it to be in more substantial contributor.
Rick Shane – JPMorgan: Got it. Great. Thank you very much. Well actually can I circle back on that? Can you talk a little bit about how much of the costs – I mean you basically showed a 50% year-over-year compression of revenues. And again totally understandable given where we are in the cycle. What do you think on an apples-to-apples basis the expense ratios down there?
David Nelms: It’s just not material unless to break out. As we’ve said, we took cost down as well so that whole revenue didn’t go up to the bottom line, but it was enough of a swing us from a modest profit to a modest loss. And I would just…
Mark Graf: Yes. I would say, look, from my perspective the expense cut probably hasn’t been as deep as the revenue loss just to be intellectually honest with you guys in here. I mean I think it needs to be one thing if we had a big stable business that was operating at giant scale. Yes, you take out all the expenses and you’d be ready to rock and roll. We’re actually trying to figure up what the right role for us in this business is and how to play it the right way. So we’re looking for opportunities to penetrate purchase money mortgage channel as David alluded to earlier a number of different things. So we’re not going to cut to the bone, but by the same again if we’re not going to be improving in terms of how we manage the business either, we’re going to be smart about it, but we want to find a way to make this a contributing business that really adds value to our customer relationships going forward. So yes, we’ve taken a red pencil to it, but we are also not focused on just slashing it, we want to find a way to make it work.
David Nelms: One other thing I would add is that we have diverted some of the resources in that business into our new home equity product that we launched late last year. And I think we’ve got some early months of optimizing the process and still want to be fully reviewed [ph] that you start to think about scaling that business, but that’s a business that I think is going to tend to be countercyclical with the core mortgage business. And as rates rise and as home equity starts to recover, I think there is going to be some very nice growth. And in contrast, the mortgage business, that very much lends itself to direct marketing. There is lot of first mortgage, versus second – versus is refinancing issue. We think we can compete robustly for a large percentage of that market.
Rick Shane – JPMorgan: Terrific. Thank you guys.
David Nelms: Thank you.
Operator: The next question is from Scott Valentin with FBR Capital Markets. Please go ahead.
Scott Valentin – FBR Capital Markets: Good evening, and thanks for taking my question. David, you mentioned double-digit account growth with Discover – I guess overall double-digit account growth for credit cards. I am just wondering how that’s progressed over time? You mentioned you launched some Discover it campaign about a year ago. Wonder if it’s been consistent? If you’ve seen acceleration in the pace of account additions?
David Nelms: Well, we had increased our accounts from when we launched Discover it. And we’re now on the one year anniversary of really launching Discover it broadly. So when we talk about double-digit, that’s lapping the increases that we have in the initial launch of Discover it.
Scott Valentin – FBR Capital Markets: Okay. And then just a follow-up question. You mentioned as more loans enter repayment, losses will go up in the student loan portfolio. Where do you see kind of – if you were to stabilize the portfolio, where would you see kind of losses over, say the lifetime of a loan percentage-wise?
David Nelms: Well, I think as we’ve talked about a few years ago, well we project lifetime losses of somewhere around 10% roughly a 10-year life on average with prepayments. And so you’d expect it to be a little bit north of 100 basis points, but as we described to you before, the first two years of repayment typically you see half of the total of lifetime losses occur as people have to start the repayment and there at the early part of their career, and therefore have the lowest income generally. And so as people would expect, as we get more and more people that bubble going through the first two years of repayment, we would expect it to be well north of that 100 basis points and you’re seeing that in our numbers. So it’s tracking pretty much according to our expectations.
Scott Valentin – FBR Capital Markets: Okay. Thanks very much.
Mark Graf: Thank you.
Operator: The final question comes from David Hochstim with Buckingham Research. Please go ahead.
David Hochstim – Buckingham Research: Thanks. I just had two really short follow-up clarification questions. David mentioned before that the loss of the third-party issuing relationship would be immaterial. Was that immaterial to payment services income or to total company income, and when could that start to show up?
David Nelms: The total company income. Obviously the volumes and the profits on the much smaller base of the third-party payments business is the lion’s share of the one that the third-party.
David Hochstim – Buckingham Research: All right. And do you have a sense of when the conversions would start?
David Nelms: We expect later this year.
David Hochstim – Buckingham Research: Okay. And then you were saying the lion’s share of the network partners volume?
David Nelms: Correct.
David Hochstim – Buckingham Research: All right. And payment services income has affected as well?
David Nelms: The payment services income also has PULSE and Diners contributing to it. Yes, if you remember that network partners is the third component with the smallest portion of volume.
David Hochstim – Buckingham Research: Right. Thanks. And then just wonder if you could tell us how much lower you think protection products revenue can go? Are we getting close to trough do you think?
David Nelms: Well, we have not restored marketing. And so you’re going to see continued attrition. It maybe trading a little bit slower than we might have anticipated. We’re seeing some very nice loyalty and customers, and maybe that’s inside the target reach, maybe helping because those securities attributes can be pretty valuable to people. But it’s going to continue to trade until we restore marketing.
David Hochstim – Buckingham Research: Okay. And then I don’t know, I might have missed it, but Mark did you gave an estimate of what you think your Tier – your Basel III Tier 1 common ratio as of March 31?
Mark Graf: No, we didn’t but it’s only off by maybe 10 or 12 basis points from our current stated Tier 1 common equity level. So it does not – implementing Basel III does not have a material impact on us.
David Hochstim – Buckingham Research: Thanks a lot.
David Nelms: Thank you, David.
Operator: That was the final question. Ladies and gentlemen, I’d like to turn the call back over to Bill Franklin.
Bill Franklin: Thank you for joining us this evening. If you have any follow-up questions, Investors Relations will be around this evening. Have a good night.